Operator: Good day and welcome to KBR's Fourth Quarter and Fiscal Year 2015 Earnings Conference Call. This call is being recorded. As a reminder, your lines will be in a listen-only mode for the duration of the call. There will be a question-and-answer session immediately following prepared remarks. You will receive instructions at that time. For opening remarks and introductions, I would like to turn the call over to Mr. Zac Nagle, Vice President of Investor Relations. Please go ahead.
Zachary A. Nagle - Vice President-Investor Relations & Communications: Good morning and thank you for joining us for KBR's fourth quarter and fiscal 2015 earnings conference call. Today's call is also being webcast and a replay will be available on KBR's website for seven days at kbr.com. The press release announcing KBR's results is also available on KBR's website. Joining me today are Stuart Bradie, President and Chief Executive Officer; and Brian Ferraioli, Executive Vice President and Chief Financial Officer. During today's call, Stuart and Brian will cover KBR's financial and operation results in more detail, provide an update on our progress against our strategic objectives, and discuss our market outlook. Please refer to the accompanying presentation that is posted on our website at kbr.com. After our prepared remarks, we'll open the floor for questions. Before turning the call over to Stuart, I would like to remind our audience that today's comments may include forward-looking statements reflecting KBR's views about future events and their potential impact on performance. These matters involve risks and uncertainties that could impact operations and financial results and cause our actual results to differ significantly from our forward-looking statements. These risks are discussed in KBR's fourth quarter earnings press release, KBR's earnings presentation, KBR's Form 10-K for the period ended December 31, 2015 and KBR's current reports on Form 8-K. You can find all of these documents at kbr.com. Now, I'll turn the call over to Stuart. Stuart?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Thank you, Zac. Good morning. So, turning to slide three, just a brief introduction on where we are on our goal towards Zero Harm and our safety performance. Our Total Recordable Incident Rate for 2015 showed significant progress, over a 30% improvement, over the previous year, and we continue into 2016 towards the goal of Zero Harm. A great achievement and really everyone at KBR is very proud of where we're heading in this particular area. Moving on to slide four; our year-end summary. So, significant progress against the strategic objectives that we set out in December 2014. I'll touch in the next slide a little bit of, I guess, against our scorecard that we set out when we set out our stall. We exceeded EPS guidance through the fiscal year and Brian will talk a little bit more about that later. Good Q4, solid earnings, on a backdrop of really good execution across our core businesses. We secured the Magnolia LNG project in fourth quarter of 2015, which was good and we've announced the award of the UK's Ministry of Defense, MFTS contract in the first quarter of 2016, which slipped a quarter, and hence, we just highlighted here because we expected it in the last quarter of 2015. Our cost savings are on track. We've identified and actioned over $165 million. And we're confident we'll achieve our goal of $200 million through 2016. We continue to have good performance on our non-strategic power project delivery, again managed by our Americas E&C business and that delivered some incremental profit in the quarter. Also in the fourth quarter, we had $36 million in restructuring, impairment charges and these were partially offset by the gain on the sale of assets. This really reflects our ongoing balancing of the business portfolio. We also had $8 million of discrete tax charges in the quarter, really relating to the change in the UK tax rates against our tax credits. So, that's a one-off. We continued with a balanced capital allocation policy, and in the quarter, we returned $52 million to shareholders through dividends and buybacks and $109 million across the year. And we continue to pay a competitive yielding dividend, so no change there. We also acquired very much in line with our strategy the technology subsidiaries from Chematur in the first quarter of 2016. Okay, so, moving on to slide five. We set out our stall very clearly and transparently at the end of 2014, and this really the scorecard of which we should be measured. We said we'd exit non-strategic businesses, those that we didn't fit – think fit with our future strategy or were not performing or very low margin. And I think we've now completed all the sales that we set out to do. We closed the U.S. Minerals office. And we've had good success in closing out two of the three EPC Power projects and with one of those due for completion in the first quarter of 2017, so really good performance in this particular area. The businesses we took to review more carefully really are Industrial Services business. We concluded the transaction and we sold half that business to grow it as we brought in a partner who really understood the local markets that we were operating in, and that venture is starting to gain good traction, and we're very pleased with the progress there. We moved that Canadian Pipe Fabrication/Module Assembly business into a joint venture called EPIC where we hold a minority stake. So, again, I think both of those are very much good results during the course of the year. We set out a target of $200 million, I've talked about that just previously and $165 million identified and actioned to-date, so more to come there through 2016. Target margins we set out, Technology & Consulting, low 20s%. We achieved 23.8%. E&C, high-single digits, 9.5%, and the GS in low-teens excluding legacy costs. And that was under the target in Q4 and Brian will explain why. Again it's a one-off that will potentially resolve itself as we go forward. We put a lot of effort into resolving outstanding disputes with the U.S. Government. We're going to give you a little bit more of color around that. I think that we've – we could have done a better job in explaining that more fully in the past. And it seems to be quite a hot topic when we go around talking to potential investors and our current investors. And so, we really want to give you sort of – our sort of view as where that stands today and Brian will talk about that next. And again, we continue to employ a balanced capital allocation policy. And I think I've touched on all of them as part of the summary. And we will continue with our policy going forward. So now I'd like to hand over to Brian who will firstly give you a little bit of color, a little bit more meat on the bone around where we are on our dispute resolutions and then he'll move on to the results. Brian?
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Thank you, Stuart, and good morning. Yes. On slide six, you'll see an update on some of the major disputes that we have and trying to compare where we were at the end of 2014 to the end of 2015. And one of the areas that we had a fair amount of exposure going into 2015 was relating to the U.S. Government audits. Just with a little context, for the period 2003 to 2011, that was the height of the LogCAP III contract support of the U.S. military in Iraq. And we invoiced, over that time period, $46 billion. That's about $5.1 billion in billings per year. Coming into the year, we have three years still open subject to audit, and we closed the year at the end of 2015 with only $9 million remaining being questioned by the government. A tremendous accomplishment and we expect to get that $9 million resolved this year and, hopefully, within the next quarter or so. Other years still open; the 2012 through 2014, the billings dropped down to only $1.2 billion for that time period, so only $400 million. So, you see a significant step down in the amount of cost to be audited by the government. And I'd point out that our success rate in justifying the billings that we rendered to the government is 99.89%. So, in my view, a significant de-risking by the end of 2015 to where we entered the year relating to government audits of some very high volume activity that we've had in the past. Also coming into the beginning of the year, we had a number of sodium dichromate cases. Two series of cases in the states of Oregon and Texas. And actually, in Oregon, we had an adverse jury verdict of $81 million against us though, which was on appeal. During the year, the cases were combined and transferred to Texas, where all the cases were dismissed on the merits. And one of the findings of the court was that no one was injured. Now, the plaintiffs are appealing this, but again a significant de-risking from where we entered the year. Another ruling from the court was that the contract indemnification, including in our agreement with the U.S. military, protects us from these type of claims and costs. So again, it's not over, but a significant de-risking from where we entered the year. And finally, the PEMEX, this is an offensive claim where we've won several times in cases against PEMEX. We entered the year with a case being on appeal with $465 million being on deposit in New York by PEMEX. As we exited 2015, the hearings are complete and we continue to wait a ruling by the court. So hopefully we'll hear in the near team, and we're much closer to the end than we are to the beginning on collecting the $465 million. Tuning over to slide seven; looking at the financial results for the quarter. You see the revenues of $1.080 billion is down about $337 million from the prior year, but $207 million of that relates to the fact that we now deconsolidate the Brown & Root Industrial Services business that Stuart mentioned earlier and now comes through in the equity in earnings line. And we also sold the Building Group in the second quarter. And between those two, it's $207 million. The delta also reflects the rundown on one of the larger LNG projects in Australia that we've been talking about for some quarters now. Gross profit and equity in earnings reflects the improved performance Stuart referred to earlier, and clearly a significant change from where we were in the fourth quarter of 2014 when we went through the restructuring process. G&A costs continue to come down, it's a $25 million reduction from a year ago quarter and that's, again, the cost initiatives that we've been talking about for some time. The impairment of long-lived assets and restructuring charges continue as we rebalance our business. $17 million of those charges relate to the write-off of ERP expenses and non-cash, since the cash has been spent in last year, and the cost initiatives as well relating to severance, offset partially by some gains on the sales of excess office space and our Infrastructure Americas business. The net of the two is about a $9 million hit to the quarter. Net income obviously reflects all of the above. And just one thing to point out, the discrete tax of $8 million in the quarter, this is in relation to the UK tax rate dropping from 20% to 18%. So therefore, the tax benefits that we have, primarily related to the UK pension, will generate lower value in the future when we get to deduct them for tax purposes. But the good news is the tax rate on earnings will be lower as well. All of that results in an EPS of $0.29. Going over to page eight; page eight reflects how we think about the business. As I mentioned, the $0.29 EPS for the quarter, and that's $1.40 for the full year. But there are a number of these strategic initiatives that we've been doing throughout the year that are not really operational run rate type items, and so we tend to back those out. So specifically the non-strategic businesses, although the performance has been better than what had been expected on the power plant portfolio that we still have with $11 million gain during the quarter, which equates to about $0.08, and $27 million for the year which equates to about $0.19, clearly that's business that we're exiting. And therefore, it's not going to be resulting in the future. The impairments and restructuring charges, $36 million for the quarter equates to about $0.22 and $70 million for the year or $0.41. The gain on the disposition of assets, $27 million for the quarter, $0.16 per share for the quarter and $61 million for the year, which is about $0.40 for the year. And then if you recall, in the second quarter, we had a gain, we had a correction of an error that was over a number of years relating to a joint venture that we have in Mexico, and that was about $0.10, and then the tax rate change in the UK, $0.06. So you look at the adjusted EPS after backing out these, what I consider, non-operational type activities, you're at $0.33 for the quarter, $1.18 for the year. And then we continue with the U.S. legacy legal fees, which were $5 million for the quarter or $0.03 and $18 million for the year or about $0.12. So when we think about EPS, we think about $0.36 for the quarter and about $1.30 for the year. Moving over to slide nine, a little bit more detail on the P&L. We're looking at it from a segment perspective. You see the Technology & Consulting group, the revenues are up. That's largely related to increased volumes of proprietary equipment. E&C, we talked about the deconsolidation of the Industrial Services group as well as the LNG project. And also in there in 2014, we had the Canadian pipe fabrication work and Canadian construction which has – the pipe fabrication has been transferred to a joint venture and the construction in Canada has dropped off a little bit, reflecting tar sands or oil sands activities. Government Services is higher in revenues and that's largely related to the support for the U.S. military abroad under the LogCAP IV contract. And the non-strategics reflect the sale of the Building Group, which was $81 million in the fourth quarter of 2014, that business was sold, again, in the second quarter. Gross profit and equity earnings are up across the board compared to the prior year, obviously, with all the restructuring charges from the fourth quarter of 2014. But again, reflects good performance in T&C on the proprietary equipment side, especially we're talking about the technology component of it, not so much the consulting side. E&C had strong performance during the quarter. The Government Services improved from where we were a year ago. But the margins are down a bit for the quarter. And this reflects the fact that one of the project close-outs, we received some subcontractor claims very recently actually after the year-end, but before we filed, so they're included in the fourth quarter results. We believe there may be some merit to them, but we haven't had the opportunity to fully evaluate whether these are recoverable from our client. So, we have the cost in there and zero revenues. And that's why the quarter margins are down a bit. If we are able to recover from the government, we only upside relating to those claims. The non-strategic business, again reflects the power projects, and the EBITDA again is reflective of all the above, plus the fact that the change from the year-ago was all the goodwill impairment that we had taken. Moving on to slide 10; we had a good cash of quarter. Cash balance at the end of the year was $883 million and that's been driven primarily from $132 million of operating cash flow during the quarter. That's the good news. The bad news is, we were successful in advancing some of that from 2016, so it's timing. So, the first quarter will be negatively impacted by that shift out of the first quarter and into the fourth quarter. During the first quarter, we have already spent $24 million to acquire three subsidiaries of Chematur. This is in line with our strategic initiative to add to our technology portfolio. And we're looking to add on with additional bolt-on acquisitions throughout the year. So, our balance sheet is strong and we believe that that's very important to our clients, but also gives us optionality as things develop in some challenging markets. We intend to continue with balanced capital allocation strategy. And as Stuart mentioned, we pay a very competitive yielding dividend of about 2.5%. During the quarter, we returned $52 million to shareholders, $40 million in repurchases and $12 million in dividends. And you see for the year, $109 million was returned to shareholders and since the spin back in 2007, just under $1.1 billion have been returned to shareholders. So with that, I'll turn the call back over to Stuart, and he'll walk you through the market outlook.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Thank you, Brian. Global hydrocarbons, it's a tough market today. I think it will remain a tough market for E&Cs. I don't think there's any getting away from that. I think prudent cost management is essential and I think we've demonstrated good performance in that area, which needs to continue, but opportunities do remain. There's ongoing demand, particularly in the downstream refining petrochemicals arena, which really supports where we're positioned in our technology business. We're very gas-facing. And it sort of expands the opportunities for E&C pull-through from our early positioning in technology. It's worth mentioning here, two opportunities that we've called out before. The first is really around the fertilizer EPC opportunity that we declared in the Midwest of the country. In the last update, I think, I explained there were a number of those opportunities that we were pursuing. They are all developer-led and we've got those still continuing at various levels of maturity. There was a declaration recently around Midwest fertilizers and, I think, because we had talked about a fertilizer plant in the Midwest, everyone thought that was the only one we were considering, and that is not the case. In terms of Tangguh, the Tangguh pricing is in. The two competitors submitted bids and we bid it as aggressively as we feel is sensible. And as I've reiterated many times, we are not going to do anything stupid in this market, particularly in lump-sum bidding. But we await the final results of that tender, which we expect very soon. We continue to see isolated opportunities in upstream oil and gas and, I think, those will continue through 2016 and into 2017. The key there is to be chasing the ones that will go ahead. Lower CapEx around the world should result in greater opportunities as people concentrate on their existing assets for our maintenance and turnaround business. I think where we're positioning our Brown & Root Industrial Services model gives us a really good opportunity to replicate that model. Expand it in the U.S., but also replicate it across the world. And as Brian mentioned, we're very keen on continuing to expand our technology portfolio. In the Government Services side of the business, very, very different picture. The markets across the globe are expanding for us. We see an increase in U.S. military overseas support for obvious reasons, with significant strategic opportunities in the UK and across Europe. There's been a sort of declared 2% of GDP spend in the UK and Australia, which is seeing an increase in the spending in that market where we're well positioned. And we see increasing opportunities to support in the Middle East as things progress there. In summary, in 2016 and beyond, we see opportunities for stronger technology sales growth in that business and annuity revenue streams across KBR providing more continuity and cyclical protection and that's certainly the case in 2016 and we see that continuing. Our balance sheet, as Brian said, we have very strong cash performance. Our balance sheet is strong. It provides significant optionality and allows us to move quickly as strategic opportunities arise and I'm sure there will be a number of those that come to the floor during these difficult times through 2016 and into 2017. So to try and set out our scorecard and our stall for 2016, if you move to the next slide, slide 13. And the first bullet, we've set out the margin objectives and we are standing by them and we'll progress through each quarter as we go along against those margin objectives. And we stick by our $200 million cost reduction target that we established in December 2014 and will continue down that path through 2016 and into – and hopefully more into 2017. We do want to expand our Brown & Root Industrial Service model in the U.S., but actually globally as well, as we see good opportunity in the asset services side of the business. I've talked – we've talked for many quarters about Brown & Root technology portfolio, which we've started to do because it's a good business in its own right, the margins are attractive, but it does position us early for opportunities in EPC pull-through. We wish to expand our Government Services offerings, particularly around areas where it differentiates us going forward. And as I've said, the markets in that particular business are growing today. And we will continue with our balanced capital allocation strategy. So, moving on to slide 14, 2016 guidance. Our guidance is an EPS range of $1.20 to $1.45, excluding legacy legal fees, estimated in 2016 at $50 million or $0.11 EPS. It's worth noting also that approximately 80% of revenue supporting this guidance is already in backlog. Now to try and get ahead a little bit of I'm sure some questions around 2017, I thought it might be worth just making a few statements around that before we open the floor to the questions. First and foremost, we are very conscious that whatever we say we really want to stand behind. So, we're right up front. We're not going to give formal guidance for 2017. However, the 2016 growth in our Technology and our Government Services businesses has helped counteract the headwinds in our E&C business. And we see this continuing into 2017 and beyond. And our strategic intent, as we set out, supports this. In the hydrocarbon sector, as you're all well aware, our customers are limiting capital expenditure and 2017 is heading to be a tougher year than 2016. That said, our scale and our position opposite gas monetization, particularly in downstream and petrochemicals and our technology positioning really helps us. Our balance sheet gives us great optionality. We are looking acquisitively, as you're aware, and we think there will be – there are and there will continue to be opportunities that align with our strategy going forward, really around expanding the technology portfolio, and thus giving great opportunity for EPC pull-through, where it makes sense, globalizing the Brown & Root Industrial Services model around maintenance and turnaround, and really growing our Government Services offering around differentiation. And finally, the other lever you can pull in a market like this is, of course, the cost lever. I think we've demonstrated since the beginning of 2015 through the course of the year and with our targets of $200 million cost reduction, that we're performing well in this area. We believe there's more to go. We can continue to get more efficient and this will continue in 2016 and into 2017. And this really helps us competitively, but also helps us achieve declared target margins. So, with that I'll hand over to Zac.
Zachary A. Nagle - Vice President-Investor Relations & Communications: Operator, at this time we'd like to open the floor for questions.
Operator: Thank you. Our first question comes from Tahira Afzal.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, folks. Congratulations on a good quarter.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Thanks, Tahira.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Thank you. Good morning.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Good morning. So, first of all thank you for setting some qualitative expectations for 2017, which seem pretty grounded. I assume at these levels it will help your stock. If I was to look at the government side of the business, could you give us more of an idea of some of the backlog opportunities you have – left over there, if there's still some large ones on the UK side? And then number two, the U.S. side, obviously we are seeing an uptick in some of the spending, at least for this year. Are you seeing anything of the same size and scope as the opportunities in the UK?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: We're not clear about the opportunities in the UK you're referring to, Tahira.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: You cut out a bit. So I'm sorry, we didn't hear the beginning of your question.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Yeah, sorry. I know you've just won a very large UK opportunity. But I'm wondering if there are some other lumpy large ones out there that you can highlight a little more. And whether there are any similar ones now in the U.S. with the spending here potentially picking up.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: This is in the Government Services side of the business.
Tahira Afzal - KeyBanc Capital Markets, Inc.: That's correct.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Yes. So I think we've talked before about Army 2020, which is really the UK government bringing the rest of the UK army back to the UK mainland from Germany. And that continues to progress well. We're in single-source negotiations with the Ministry of Defense to achieve that goal. As you know, we sort of built the facilities in the Salisbury Plain for the UK army and we maintain them for the next 20-odd years. This will be an additive, reasonably-sized construction portion to this. And then the maintenance portion will increase (29:10) current contract. So I think a really, really sizable opportunity for us, and one that we will drive to conclusion through the course of 2016. Probably mid-year, sort of late Q2, maybe into Q3, depending on if we can get all the contract terms sorted out with the government. But that's progressing very well and that's a sizable opportunity. And in terms of the U.S. side of the business, we're tendering a number of sizable base contracts today. The timing of award will happen, we believe, through 2016, but it's difficult to determine the exact timing just because it's a government process. We haven't really called out those as specific opportunities because there's a number of them. And if we get our fair share, I think we'll see some good growth in that side of the business.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. And Stuart, in regards to your qualitative commentary around 2017, being a tougher year and how that plays out for you, would that be partly dependent on obviously Magnolia going ahead and being awarded for construction by the early part of next year? And is Tangguh just as important? Is it a less tough year if you end up getting at least one or both of those?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: I think from a – I think both are very different scales. I would say that first. I think Tangguh is far smaller in scale than Magnolia. I think that the – for us neither of those opportunities are in backlog today. None of them – we would not do that until they reach financial close, it's worth calling that out. That's really our policy and we'll stick by it. It would be terrific if Magnolia – I mean, the client is confident that they're at the right end of the cost curve. They're still, in a dollars per ton perspective, at the very lower end of that. So they feel that as they progress through 2016, the opportunity for LNG sales, they believe, will be good. So in terms of looking into 2017, I don't think either of those opportunities for us are – we don't need either of them to actually deliver on our strategy of where we're heading. Obviously, if one or both were successful, that would make life a little bit easier, of course it would. But I don't think them going ahead or not going ahead or being successful will detract from where we're heading.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thank you very much, Stuart.
Operator: And we'll move forward to our next question from Rob Norfleet.
Robert F. Norfleet - Alembic Global Advisors LLC: Good morning and congratulations on a nice end to the year.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Thanks you very much.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Thanks, Rob.
Robert F. Norfleet - Alembic Global Advisors LLC: Just a quick question. I guess we always get into the question of guidance within guidance, but when I look at the range of the guidance, and Brian, I think you did a nice job of kind of pointing out what some of the non-operational items were that impacted results in 2015, so we can kind of look at on an apples-to-apples basis. But there is a fairly wide gap at the bottom end of $1.20, which would imply, on an adjusted basis, modestly down earnings. And I know you guys have pointed out, obviously, some of the difficulties in the market. But could you maybe point out just in terms of the low-end versus high-end kind of what – from a bottoms-up perspective you guys, what would have to happen for kind of the lower end versus the bottom end to happen? Is it more that a project like Magnolia does not come to FID or is it just more CapEx cuts and the inability to win some of the larger projects that we've discussed? I'm just trying to get a general understanding of the range.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Well, Rob, again, if you look at the range, we don't think it's so far off to where we are for this year. If anything maybe it's a – we have a good opportunity for to be up slightly in a pretty challenging market, but it's a challenging market. So, we'll see how things play out, but to answer your specific question about Magnolia, Magnolia is unlikely to proceed. The last we had heard from the client publicly was delayed until the end of the year. So, it would have no impact on this year.
Robert F. Norfleet - Alembic Global Advisors LLC: Okay. So, within that contract, given that you have a – obviously you've guaranteed a fixed price EPC contract, would you likely extend that or how do you work with the customer in that regard?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Yes, I mean, you're right. We would look to extend that as we – within the realms of reasonableness as the year progresses.
Robert F. Norfleet - Alembic Global Advisors LLC: Okay. And just my question just involves around obviously we have two of the larger LNG projects that are pretty heavy contributors to the E&C segment this year. Can you kind of talk about the contribution this year and really the roll down of these contracts as we enter the second half of 2016, and what if any contribution there will be in 2017?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: So, I think we've been pretty clear about the fact that our LNG earnings in 2016 would be similar to 2015 and I think we will continue with that. The two projects are at different stages of, I guess, their cycle with Gorgon looking to produce hydrocarbon very soon and first LNG there. So that project will run down through the course of the year, while the excess project will continue and running through the construction cycle in 2016 on into 2017.
Robert F. Norfleet - Alembic Global Advisors LLC: Okay. Great. And just lastly, in terms of – Brian, can you just give us in terms of cash – the amount of cash that U.S. versus international and again how that potentially impacts the capital allocation decisions in 2016?
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: We have what about $300 million. It's in the 10-K, there's a chart, let's see if I can find it quickly. But in terms of capital allocation, it's at $336 million, I am told domestically and...
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: It's page 36.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Oh, page 36 I'm told, but it's about $300 million or so.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: (35:44)
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Yeah, $360 million. And in terms of capital allocation, no, it doesn't have a significant impact where the cash is located. We're looking at opportunities on the M&A side on a global basis. Clearly on the buybacks and dividends, that's more of a domestic cash issue, but we have some fair flexibility about how we can move cash around in a tax efficient manner right now. So, the split between the two is not a huge issue in term of capital allocation.
Robert F. Norfleet - Alembic Global Advisors LLC: Great. Well, thanks for the time and congratulation again on a good year in a difficult environment.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Thank you very much.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Thank you.
Operator: And we'll move forward to our next question from Jamie Cook.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning, can you hear me?
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Yes. Good morning, Jamie.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Yes. Good morning, Jamie.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Good morning, everyone. So, a couple of questions, Brian. If I could just press you a little more on how to think about 2016 and 2017. One, is there anything unusual or how do we think about the cadence of earnings in 2016 first half versus second half? Because obviously that is implications for how we think about 2017 and just with roll off on the LNG projects. And, Brian, your stock is trading like your E&C earnings in 2017 are going to get cut by 60% or 70%. I'm just – any color you can give if Magnolia is not going to contribute this year or contribute in 2016. If we don't get Tangguh, how bad could E&C be? And then the other – my other question, I guess, would be back on the cash flow side while the market is very negative on, I think, your earnings outlook beyond 2017, I still feel like on the cash side, people under appreciate sort of the opportunities for you to produce cash flow above your net income level. So, can you talk about as we think about a resort over the next 12 months to 8 months, are there any one-time things that could significantly improve your free cash flow above net income and how you think about share repo versus deals given the free cash flow pipeline? Thanks.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Okay. Well, in terms of earnings...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): I haven't even had coffee, Brian.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: I thought you said you're going to ask a couple of questions, not 12. Anything for a question.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: What I can remember out of all those questions, in terms of the earnings profile, we do think there might be a little bit of a dip in the first quarter, but a ramp-up more towards the middle of the year. In terms of the cash flow, as already indicated, again, we think the first quarter will be a little bit light given that we've accelerated some of that cash, about $50 million or so, from Q1 into the last quarter of 2015. Plus we spent $24 million on the acquisition of the Chematur subsidiaries. We've also on the fixed wing aircraft, there was about $10 million capital contribution required for that project. So the cash would be a little bit light in the first quarter, but again should ramp up throughout the year. In terms of the ability to generate cash as a company, the drag that we have remains at power projects. As you recall, those projects or the project, the one remaining project, we have taken charges on and that project will not be over until the early part of 2017. So that's going to continue to dampen, if you would, the cash until that project is completed. We are focused on cash generation. You saw we had a very good fourth quarter. It remains a priority here. The U.S. – these are something that could really move the needle. Certainly, the PEMEX award, if we were to win that, the only option left to PEMEX would be to appeal to the U.S. Supreme Court. That may delay collections, but outside counsel advise us that they don't believe it's highly likely that the U.S. Supreme Court would hear a commercial dispute like that. The cash is already on deposit in New York, so it's not like we have to go and collect from the client. It is already there. So that certainly is a game changer, if that were to occur.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): What about anything with the government advanced pre-payments? And you didn't answer how you think about cash in terms of anything other than a small sort of technology deal? And you didn't answer the question on how bad E&C could be in 2017, if you don't get Tangguh or Magnolia, I mean, does this get cut in half? I'm just trying to think about the worst-case scenario.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Well, as Stuart mentioned on Tangguh and Magnolia; Magnolia, if the project goes at year-end, which is what the client most recently indicated, its impact on 2017 earnings would be relatively modest. I mean, you are doing the engineering components, which don't generate a large percent complete. So, that's not a significant driver for...
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): So what if neither of those happen?
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: I'm sorry?
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): I'm trying to understand how E&C looks in 2017 if Tangguh and Magnolia don't happen?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: I mean, it's an interesting question, Jamie. I think that one of our observations in 2015 was the level of, I guess, large jobs coming through the EPC cycle that we've announced is actually quite modest, but the business continues to win a lot of work in, I guess, the smaller project – you can call them smaller project, medium project type scale. And those projects will continue, and I think we've done very well in that area going forward. So, it's not a case of one or two projects and E&C is in trouble. I think the business resilience around E&C is far stronger than just one or two projects.
Operator: And we'll move forward to our next question from Andrew Kaplowitz.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Good morning, guys.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Hi, Andy.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Nice quarter. How are you doing? So, Stuart, maybe you can talk a little bit more about the progress of restructuring that you've made. We noticed – I think you changed your wording in the press release, from guidance of $200 million to at least $200 million this quarter. So, how do we think about additional opportunities for KBR to take out costs, and when and where can you do it? And then just following on to that, also how do we think about the lower cost falling to the bottom line given pricing pressure out in the E&C environment right now?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Yeah. I mean, I think what we found through the cost reduction exercise is that you always attack the, I guess, the lower hanging fruit first. But I think as I've explained often on the road, the beauty of what has happened, I think, within KBR is the passion from the people and we're getting a lot of the ideas and the feedback up through the business rather than from the top down. And so, the ability for those cost savings to stick is far greater. And as a consequence of that, we're actually seeing greater opportunity to take cost, continual cost out of the business as we go forward. I think second, the stall-out of $200 million in 2016 is really the target. We do think there may well be opportunities beyond that but, I think, anyone who understands our business understands one of the things in a down market that you have to actually manage is your LCA or your non-chargeable time. And we've been very transparent, a dollar of cost out of the business is a true dollar of cost. It's not we take a dollar out here and something happens over there and it goes up, but that's not – we don't count it. We've actually – we count everything. And so we need to manage our non-chargeable time and maintain capability through this period. And I think that setting our stall out the way we've done it is appropriate, but I do think there are opportunities for even more efficiency through the business. And that's why we've actually made the statement at least $200 million.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay. That's helpful. And then you kind of talked about a lot of potential growth in Government Services. I think you know this. You did about $60 million in profits, excluding legal fees in the year, in 2015. If you look at KBR historically outside of LogCAP, it's been difficult for KBR to grow Government Services. And it does seem like you have more opportunities than you had in the past. And maybe still you can talk about how do we think about actual growth in this business going forward because, I do think, it's key to offsetting some of the hydrocarbon stuff, but it's been a struggle to grow that business ex-LogCAP in the past?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: I think, yeah, it's difficult to talk for the past because I wasn't really here. I would say it was – I mean, you'd think running a contract like LogCAP III was pretty all-consuming. But that aside, we're now in a very different phase of development on Government Services. We know strategically where we want to go. We really understand the markets we're in. We know the competitive landscape and we know our positioning. And we know exactly where we want to invest and how we want to differentiate or the areas we want to move into to differentiate that business. I think there's significant opportunity to grow it organically. I think there are some opportunities to grow acquisitively. And I think as we move though the course of 2016, I think you'll start to see that. In addition, I think the strategic opportunities that we are pursuing in the UK, and in the U.S. for that matter, but I guess near term in the UK are starting to come through, and these are really solid long-term annuity-type opportunities that will really set us sort of, I guess, our earnings platform in a very consistent manner going forward.
Operator: And we'll move forward to our next question from Steven Fisher.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Morning.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Hi, Steve.
Steven Michael Fisher - UBS Securities LLC: I want to come back to the 2016 guidance again, if you could just give us a little more color on what you assume in there, to follow up on Rob's question before. I know, Brian, you listed the things that you don't really count for 2015. I guess, what are some of those things that you may or may not have in 2016? It sounds like, I think what you told Rob was that the change orders you feel pretty good about, but what about some of these other things that you may or may not have in there for 2016?
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Well, we don't have the similar sorts of items that you see on slide eight baked into the guidance, so asset impairments or severance costs or things like that, if that's your question.
Steven Michael Fisher - UBS Securities LLC: No, it's more along the lines of the non-strategic recoveries on the power projects. I mean, maybe there could be some more things that are added in there.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Okay. No. I mean, clearly, we're hopeful that we can improve on the power project performance. But we have not assumed that in the guidance. You look at the slide eight, and those are the type items that, should they occur, we back them out when we're looking at the underlying business.
Steven Michael Fisher - UBS Securities LLC: Okay. And then, again, just to follow up on Jamie's question and just, again, to harp on 2017 a little bit, it sounds like your message is that you have enough small to mid-sized type projects to really kind of keep 2017 from falling off a cliff, which is really what the investor concern is. Is that the message that it's the small to medium-sized stuff that that itself can do it or you still need some of these other technology and downstream and chemical projects elsewhere?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: I think it's across it, Steve. I think part of it is the message around the smaller projects and not all consuming large projects will make us fall off the cliff. But as I said before, we think that there's an element of counter-cyclicality around our growth in Technology and our opportunity in Government Services, combined with our optionality around the balance sheet.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: And the cost reduction.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: And, of course, the cost reduction. So we've said all along that we are very focused on growing the bottom line.
Operator: And we'll move forward to our next question from Jerry Revich.
Jerry Revich - Goldman Sachs & Co.: Hi. Good morning, everyone.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Hi, Jerry.
Jerry Revich - Goldman Sachs & Co.: Stuart, I'm wondering if you could just flesh out for us your broad range of expectations for orders in 2016 or prospects, however you can frame it, and maybe give us the major buckets within that, what proportion of your orders do you expect to be driven by these mid-sized projects? And you spoke about refining opportunities, maybe flesh that out for us as well in terms of whether that's brownfield or greenfield, any additional color would be helpful.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: I mean, I don't think we've – Jerry, in the past – and I don't think it's probably right that we give specific sector data like that. We do think there's growth opportunities in the Technology side. We do think – we've called out one or two opportunities in the Government Services side that have been there through 2015 that we'll continue to report on into 2016. So I think that's pretty clear. I think the key on the Government Services side is to look at the growth, the demand growth, the market growth, and where KBR sits in that environment. So that's probably easier. In terms of the color around the E&C and specific opportunities, I think, again, if you went back and looked at our announcements through 2015 in the larger projects and look at our performance through the year, I'll give you a sort of flavor. I don't have the exact percentage and I don't want to quote one that's wrong. But I think if you went back and looked at that, then I think it'll you a good flavor of what we've just stated. I think in the downstream sector and the petrochemicals sector, I think the opportunities through the lower gas prices in the U.S. will continue. The chemicals companies continue to look at expansion opportunities because of the lower gas price. There's certainly opportunities that we're seeing right now in the Middle East that they continue to look to, I guess, vertically integrate in their economies. So I think you'll continue to see that through the course of 2016 and into 2017. And I think because, as we said very often, where we are, we're a gas-facing company. Our technology is all gas-facing and, really, the projects that we do that are sizable are typically in the gas arena. We've got some in the oil arena offshore. But typically, onshore, it's gas. And I think that plays well to the market opportunities that will exist going forward.
Jerry Revich - Goldman Sachs & Co.: And Stuart, you've won an outstanding share of nitrogen projects. Now that that CapEx cycle looks to be slowing based on your real prices. Can you talk about how active you are in U.S. ethylene bids? How big of a focus area is that for you at this point?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Yeah. I think the next wave of ethylene projects that people talk about, I think, we're actively engaged in looking at that right now. And that's a focus area for us. I think we did some work in the last round of ethylene projects. But, I think, people have pointed out that we probably didn't do as much as people expected, and that's probably fair. But again, for us, I think that gives us a great opportunity to get refocused and work hard. We've got a very solid technology that we can apply to that market that has some real sort of advantages. We just got to play on that.
Operator: And we'll move forward to our next question from Bill Newby.
William Newby - D. A. Davidson & Co.: Good morning, guys. Bill Newby on for John Rogers.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Morning.
Brian K. Ferraioli - Chief Financial Officer & Executive Vice President: Morning.
William Newby - D. A. Davidson & Co.: I was hoping to just get some more color around the acquisition pipeline that you guys see in the near term. I think you mentioned some bolt-on acquisitions that you're seeing here in 2016. But any more color there would be good.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Yeah. I think we've said all along that, acquisitively, we would only do it if there was synergy on the revenue side. We wouldn't do something purely for a cost synergistic benefit. We want one plus one is greater than two. And we've called out, I think, in our 2016 scorecard, I guess, the three areas. They excite us at the moment. The first is, again, broadening the technology portfolio; A, because it's a great business in its own right. We'll have a bit of a – if we could do that with a recurring revenue around solvent sales or catalyst sales, that's terrific. But also position us for the EPC opportunities going forward, of which we can be a little bit more selective and get in early and be a little bit more differentiated, which in this marketplace will really help. In terms of the other area we are keen on, it's broadening the Industrial Services model in the U.S. and globally. We do think that there'll be a lot more work in this area as people try to get more out of the existing assets, and with a lack of CapEx that, I think, the last down cycle demonstrated that that was actually the case. And I guess, the third but certainly not the least is the Government Services business with an increasing demand, the opportunity for us to broadening our service offering there and get into areas of differentiation is in front of us. So, I think that we've tried to be pretty clear about our strategic priorities for 2016. And we will only do acquisitions if it fits our strategy and we'll only do it if it's synergistic in our revenue base.
William Newby - D. A. Davidson & Co.: All right. Thanks. Appreciate it.
Operator: And we'll move forward to our next question from Vishal Shah.
Rakesh Kumar - Deutsche Bank Securities, Inc.: Hi. This is Rakesh on for Vishal. Thanks for taking my question. So, with the increased focus on bidding around maintenance and around work, can you maybe talk about the pricing levels that you have seen and the competition that is present in the segment?
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: I mean, I think it's worth saying that the contracts that you enter into, particularly in the maintenance side of the business are typically long term. I guess the margin guidance we've given within E&C, we stick by. The typically once you get the invoicing and the administration sorted out, the cash performance is typically good. So, I think all of that plays to being an attractive business. Certainly, the risk profile, they tend to be far more cost reimbursable than lump sum also, which helps the cyclicality of performance.
Rakesh Kumar - Deutsche Bank Securities, Inc.: That's helpful. Thanks.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: Okay. I think we're done?
Operator: And that concludes today's question-and-answer session. I'd now like to turn the conference over to Stuart Bradie for any additional or closing remarks.
Stuart Bradie - President & Chief Executive Officer & Group President-Engineering & Construction: As ever, thank you very much for taking the time to listen this morning. We've tried to give us a little bit more flavor and color around how we've progressed through the year and resolving some of the legacy disputes. I think the team has done a fantastic job really de-risking the business from where it was 12 months to 18 months ago. And I think we've got a – it's difficult times in the hydrocarbons market, less so in the Government Services side of the business. So, I think there's a good balance to what we're looking at in front of us. And certainly I'm very proud of the performance we've done not only in safety, but also in cash management through the course of the year which gives us great optionality. So, thank you again for listening. And obviously, happy to take any follow-up calls or questions through the course of the – for the next little while and the year for that matter. So, thank you.
Operator: And that concludes today conference call. We thank you for your participation.